Operator: We appreciate your patience, and please continue to all sites on hold. We appreciate your patience, and please continue from here. Bye. To all five of us hold, we appreciate your patience. And please continue to stand by. Please standby. Your program is about to begin. Welcome to the Stabilis Solutions, Inc. Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode, and the floor will be open for your questions following the presentation. If you would like to ask a question at that time, please press we ask that you pick up your headset for best sound quality. Lastly, if you should require operator assistance, please press star zero. I would now like to turn the call over to Andy Puhala, Chief Financial Officer. Mr. Puhala, please go ahead.
Andy Puhala: Good morning. And welcome to Stabilis Solutions, Inc. fourth quarter and full year 2024 results conference call. I'm Andy Puhala, Senior Vice President and CFO of Stabilis. Joining me today is our Executive Chairman and Interim President and CEO, Casey Crenshaw.
Operator: We issued a press release after the market closed yesterday.
Andy Puhala: Yesterday detailing our fourth quarter and full year operational and financial results. This release is publicly available in the Investor Relations section of our corporate website at stabilissolutions.com. Before we begin, I'd like to remind everyone that today's conference call will contain forward-looking statements within the meaning of the Private Securities Reform Act of 1995, and other securities laws. These forward-looking statements are based on the company's expectations and beliefs as of today, February 26, 2025. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. The company undertakes no obligation to provide updates or revisions to the forward-looking statements made in today's call. Additional information concerning factors that could cause those differences is contained in our filings with the SEC and in the press release announcing our results. Investors are cautioned not to place undue reliance on any forward-looking statements. Further, please note that we may refer to certain non-GAAP financial information on today's call. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures in our earnings press release. Today's call is being recorded and will be available for replay. With that, I'll hand the call over to Casey Crenshaw for his remarks.
Casey Crenshaw: Thank you, Andy, and good morning to everyone joining us on the call. 2024 was a strong year operationally for Stabilis Solutions, Inc. One in which our team continued to build a leading last mile LNG solutions platform equipped for long-term value creation. I'm pleased with much of the progress we made these last few years. From our expanded commercial teams to our increased operational efficiency and improved capital structure. Over the past year, we prioritized asset optimization and operational efficiency. Laying the foundation for future growth by strengthening our position to secure new contracts and customers. When we founded Stabilis in 2013, we recognized that while many industries were more than willing to adopt LNG as a lower cost, clean-burning fuel, they simply had no way of securing a reliable supply of it in local markets. Customers wanted a reliable product and needed a reliable solution. More than a decade later, we built one of the leading last mile LNG solutions, one with the ability to provide LNG to both domestic and international customers. While our growth trajectory will not be and has not been linear, we have the capabilities, technical know-how, and relationships to scale the business in the years ahead, building on the momentum we've generated to date. In recent years, Stabilis has executed on a strategy that prioritized operational efficiency and disciplined capital. Entering 2025, we remain committed to this strategy. But we will prioritize growth within a handful of high-potential markets including marine, aerospace, and distributed power solutions. To that end, during 2024, we invested the majority of our CapEx in growth-related investments with a particular focus on expanding our infrastructure and presence along the U.S. Gulf Coast as we scale to serve both new and existing customers. We are reinvesting ahead of demand for small-scale LNG just as we've done over the past decade. We want to thank Westy Ballard for his contributions as he embarked on the next chapter of his career but be assured the company has strong and deep knowledge of the business, and the opportunities to grow it. An excellent management team and an amazing group of talented and dedicated team members. That look forward to executing on our strategy. I'm excited to resume the role of CEO and look forward to leading Stabilis Solutions, Inc. With that, I will turn the call over to Andy to review our financial performance.
Andy Puhala: Thank you, Casey. Let's move to a discussion of our fourth quarter performance together with an update on our balance sheet and liquidity exiting the quarter. Revenue during the fourth quarter decreased 4% compared to the fourth quarter of 2023. The decline in revenues was primarily due to lower oil and gas customer activity, partly offset by a 35% increase in aerospace revenues, a 23% increase in power generation revenues, and over 500% growth in our marine bunkering revenues. During the fourth quarter, approximately 49% of our revenues were derived from aerospace and marine customers, compared to 14% in the fourth quarter of last year. Fourth quarter net income was $2.1 million or $0.11 per diluted share compared to $1.4 million or $0.08 per diluted share in the fourth quarter of 2023. Adjusted EBITDA of $4 million was a record for the fourth quarter, increasing by $1.1 million compared to the prior year period. Adjusted EBITDA margin also reached a record 23.2% during the quarter, up from 16% in the fourth quarter of last year. Full year, we generated revenues of $73.3 million, an increase of 0.2% compared to 2023. Importantly, our gallons delivered to customers increased by over 8 million gallons from 2023. The additional volumes were offset by lower natural gas commodity prices which we passed through to customers as revenue. Full year adjusted EBITDA was $11.8 million, up from $6.8 million in 2023. We generated $13.7 million of cash from operations during 2024, representing a conversion of over 100% of our EBITDA. This cash generation allowed us to build a strong cash and liquidity position through the year. As Casey mentioned, more than $7 million of our $9.2 million in full year capital expenditures were directed towards growth investments. In the fourth quarter specifically, we deployed over $5.5 million in capital as part of our efforts to invest in our infrastructure along the U.S. Gulf Coast as we relocated an LNG train purchased in 2023, in preparation for future deployment. And expanded our storage capacity at our George West facility. Our capital spending for 2024 represented a $1.5 million to $2 million annually. Significantly larger capital expenditures will be to position us for incremental growth in the marine and aerospace markets. As of December 31, 2024, Stabilis Solutions, Inc. had total cash and equivalents of $9 million together with $4.3 million of availability under our credit facilities. Total debt outstanding as of December 31, 2024, was $9.3 million resulting in a net debt to trailing twelve-month adjusted EBITDA of just 0.03 times. These trends highlight our successful execution as we focus our business on securing growth through incremental contracts and customers. That concludes our prepared remarks. Operator, please open the line for the Q&A session.
Operator: At this time, if you have a question or comment, please press star one on your telephone keypad. To provide optimal sound quality. Thank you. Our first question is coming from Martin Malloy with Johnson and Your line is open.
Martin Malloy: Thank you for taking my questions. Good morning. I wanted to first ask about with the relocation of the equipment, for the another liquefaction train to the Gulf Coast region. Can you maybe talk about the timetable or milestones in conjunction with We've FID on that project for expanding liquefaction capacities for marine bunkering.
Casey Crenshaw: Hey, Marty. Good morning, and thanks for joining the call today. So, you know, we've got that unit relocated and as Andy stated, we've purchased that in 2023, and we relocated it last year. Down to our George West facility and installed some of the storage units to expand our capacity of storage and kinda make it easier for us to service some of the marine markets with that excess storage. And we are working on multiple paths to deploy that as both in the marine space and increased demand in aerospace and distributed power. And so we are working on both, you know, financing, how to properly finance that with what contracts and what customer contracts will come first between the difference between the three different growth platforms we've got. Same time, we're working on expanding with that plant or with an additional plant capacity in Galveston and the Houston Ship Channel area for different clients and customers from marine bunkering. So we're kind of working multiple paths for multiple end markets that we've discussed on the call. Primary growth drivers.
Martin Malloy: Okay. And then next question, I just wanted to ask about the G&A line. It was a little bit lower this quarter. And maybe if you could talk about the fourth quarter G&A line and then what we should expect going forward.
Casey Crenshaw: Yeah. Marty, I'm gonna touch on it real quick, and then I'm gonna let Andy kinda follow-up. But bottom line is it had an adjustment in accrual for some of the bonus accruals that were in there as well as an adjustment related to Westy's change and mutual separation. And so that happened in the fourth quarter. It was just a cleanup for the year-end on some accruals and that change. Then we'll also have just to preview it some one-time costs coming through in the first quarter associated with the mutual separation between the company and Westy Ballard. So those are kind of the two one-time events, and I'll let Andy see if he wants to give an ongoing number there.
Andy Puhala: Yeah, look, I think Casey covered it well. The G&A was down both sequentially and year over year for the quarter. There were some bonus incentive accruals that were lower than year and lower than Q3. There were also some lower professional services in the quarter, which is just, you know, timing of those. Other than that, you know, nothing out of the ordinary. I would say that if you look at it on a full-year basis, I mean that G&A run rate is probably what you can expect going forward, Marty.
Operator: And we'll take our next question from Tate Sullivan with Maxim Group. Your line is open.
Tate Sullivan: Hi. Hi. Thank you. Good morning. In the change in the drilling in gallons for 2024 with point two million. I think that implies a year-over-year slight decrease in Q4. Is that timing related to the Carnival contract or other considerations that you might be able to comment on?
Casey Crenshaw: Hey, Tate. Thank you for joining the call. Appreciate you being on and your question. I think that has to do with, as we've stated, some of the operational efficiency and the shifting of some of the contracts and where we're working and just kind of the timing of growth in the aerospace industry and some oil and gas end market mining operations that came off. So it had a combination of all three of those, a decrease in oil and gas, contract, a slower uptake on some of the aerospace and then just the timing of the scaling of the marine is the primary reason for the difference in gallons.
Tate Sullivan: Okay. Thank you. And Yep. Thanks. Yeah. Sorry. This is Andrew. Let me add something. I think you were referring to the year-over-year increase in gallons, is that right? To make sure we understood the question.
Tate Sullivan: Yeah. Yeah. Yeah. So the gallons, as I mentioned in my comments, were up about 8 million gallons. And that a large part of that was a marine bunkering contract that started late in the quarter in 2023. And was, you know, in full operation in 2024. So that was a big part of it. If that helps.
Tate Sullivan: Yes. Yeah. Thank you. Thank you. And then, Andy, did your prepared comments, did you mention a separate percent growth figure for marine bunkering? Or were you referring to the just the total year-over-year growth in Q4? I wanted to make sure I didn't mess up.
Andy Puhala: Yeah. In our comments, we talked about the growth in Q4 of both marine and aerospace year over year.
Tate Sullivan: And then you talked about a significant increase in CapEx for the potential growth investments related to FID. Is most of that can you get into some details there? Is most of that related to moving the train, associated equipment around where you ultimately placed the train? Can you talk about some of the potential spending if you can at this point before FID?
Casey Crenshaw: Yeah. So in the fourth quarter, Tate, primarily that was related to the moving of the liquefaction train down to George West and the installing of the extra storage in George West. So that was the primary two drivers of that in the fourth quarter.
Operator: Once again, for any follow-ups, we'll take our next question from Barry Haimes with Sage Asset Management. Your line is open.
Barry Haimes: Thanks so much, guys. Good quarter. Another follow-up question or two on the new train. Could you talk about what has to happen to get to SIP and what the timing might be, how long to finish out the construction, and then what the remaining cost would be as well as the total cost? And anything you can share on profit or revenue in terms of, you know, either EBITDA that that could generate or ROI in the project and any sort of financial metrics? And one other question. Thanks.
Casey Crenshaw: Thanks, Barry, for the question. And so we estimate that it would take about between $20 million and $25 million to finish construction on that train if we end up putting it in George West. It's a total different number if we end up putting it on the coast in a marine bunkering application on the water. And if it's, you know, operating as an additional train, it could easily create between $10 million and $15 million of additional gross margin in that application in George West. As for when we will be ready to give more when and when we're ready to install it. I think that's gonna depend on a couple of different commercial contracts that we're working on and customer activity and we'd rather not lock ourselves into an actual date on that because we'd like to see kinda which customers and who wants to take most of the offtake around that. And what the terms of that are. But we're working on numerous with numerous parties around that. Also working on the financing around how to most optimize putting it in. As for when we could complete it, I believe it's about a nine-month process if we put it in George West. Nine to twelve months, it's a much longer process if we're putting it on the water. Just due to the plant that we have to bring in that's not already there. So hope that answered your question.
Barry Haimes: Yeah. No. That's terrific. Appreciate all the extra color. So one other question just has to do with the bunkering business. And, you know, you talked about the big contract with Carnival, but could you talk a little bit more about how many customers you have now and how you see that playing out over the next year or two? I mean, I'm hearing that there's tons of LNG ships being built. You probably have a better feel for delivery schedules and such. So any extra color on kind of where that stands now and how you're thinking about that next year or two? Thanks.
Casey Crenshaw: Sure, Barry. I'll try to give a little bit of color, and then I'll let Andy come in if there's any more details he wants to talk about. But the marine bunkering business, as our management team has communicated to you guys publicly, is really an exciting space for the company. And again, I don't like to just focus on one area because we've got the marine bunkering, we've got the aerospace which is super exciting, and we've got the distributed power behind the meter for all types of applications for that distributed power market. All three are really neat growth drivers as well as the traditional businesses we're doing and, you know, whether it be off-pipe, applications for, you know, asphalt or mining or other applications are all exciting. In the marine bunkering space, it's really around the different types of ships that are converting. And so right now, we're working in the cruise space on that contract we've discussed publicly. There's also other markets around container ships, car hauling ships, and then you've got just the tanker market hauling, you know, more commodity. All of them are adopting at different speeds and take different investments in infrastructure depending on the type of customer and the type of client and the region. We've seen the cruise space, you know, be early movers in Florida. And, we think that that's gonna happen in the Gulf Coast with our help. And we're working toward that area. We're also seeing container ships start to adopt in fuel in the US on the East Coast, and we think that will over time happen in the Gulf Coast as well. We're working to be the primary supplier of all of that as quick as we can and take our kind of advantage on first mover in the region and take advantage of that situation. So, you know, it's easy to see. I think the bottom line is people and customers want to take advantage of the cheaper natural gas in America and our ability to liquefy it here and not have the risk of price shock as the world market moves around. So they're looking for consistency of supply as part of their supply chain, and that's what we're working around.
Operator: We'll move next to shareholder Spencer Lehman. Your line is open.
Spencer Lehman: Oh, hi. Good morning, Andy, and welcome back, Mr. Ballard. I'm a long-term shareholder. I think probably go back at least fifteen years. And, you know, a couple of years ago, I think from 2023 to 2024, the stock was pretty much flatlined at four dollars, and pretty quiet. You almost were like a private company. And fortunately, this year, I think partly due to maybe the new administration being more favorable to natural gas. And but specifically, the advent of AI and data centers were very exciting and I think, responsible for the increased activity and moving the stock. What sort of puzzles me is why you don't mention data centers in your press releases and even on your website. And correct me if I'm wrong, Andy, but I don't see the word data center mentioned that you talk always about aerospace and marine and other markets. And I'm just wondering why it's so shy about talking about data centers because that's what's really exciting in the stock market now. Nobody's talking I mean, yeah. I mean, we know that marine and all that are good for the company, but as far as what's really, you know, exciting is AI and data centers. Am I correct in that that I don't I just your website. Thank you.
Casey Crenshaw: Spencer, this is Casey Crenshaw, and I do appreciate your question. And I also appreciate you being a long-term holder of the stock. And thank you. Stakeholder in the company. And I think if you think about how we talk about the business and creating long-term value, we think about data centers as being an end market for distributed power. And distributed power for us is our term that we talk about which distributed power is kind of behind the meter where we're trying to create a virtual pipeline of natural gas in the form of LNG to those applications and whether it be backup, bridge, or permanent it's creating the energy source for power generation for whether it be microgrids, you know, different type of use of digital work or AI or, you know, just behind the meter to support, you know, the weekend overall power around, you know, the United States. All of them are the same to us. We're providing a fuel to provide that distributed power solution. So, you know, we appreciate the feedback. And, you know, a year ago, no one even talked about AI. Now every single public company is talking about it in every single press release regardless of their actual, you know, connection to it. We have a strong connection to distributed power in both backup and bridge, for that end market. And we look forward to as we stated, as one of our three growth markets that we're working on. But I'll let Andy see if he has anything to add, Spencer. And I appreciate you being a long-term holder. Through fifteen years.
Andy Puhala: Yeah. The only thing I'd add, Spencer, I mean, as Casey mentioned, you know, we've been doing remote power generation for a long time. And we're, you know, we're good at it. It's a key part of our business. You know, in 2024, big drivers of our business are obviously marine and aerospace. You know, we don't today have any data center work currently, but believe me, once, you know, we do think that we've got some that's gonna come and when we have it, we'll be more than happy to talk about it and you'll know.
Casey Crenshaw: Yeah. Spencer, I'd also add we have a strong commercial team working on this area. It's important to us. Working on distributed power projects every day but we want to make sure that if that distributed power is actually for AI, we want to be careful not to, you know, be talking about stuff just for the sake of short-term announcements. We're a long-term holder. We're committed to long-term value. And we want investors to know that that's the company's point of view around that. We will be in that market. And when there's something to talk about of material nature, we'll spend time talking about it.
Operator: And once again, for any additional comments, questions or follow-ups, that is star and one. We'll pause a moment. And this does conclude the Q&A portion of today's call. I would now like to turn the floor over to Mr. Puhala for his closing remarks.
Andy Puhala: Well, thank you, Chloe. And for everyone who joined us today, thank you for your time and continued interest in the company. If you have any questions or want to learn more about what we're doing over here at Stabilis Solutions, Inc., please, you know, contact me or our investor relations team. That concludes our call for today, so you can now disconnect. Thank you.
Operator: This concludes today's Stabilis Solutions, Inc. Fourth Quarter and Full Year 2024 Earnings Conference Call. Please disconnect your line at this time and have a wonderful day.